Operator: Welcome to the DexCom Third Quarter 2018 Earnings Release Conference Call. My name is Adrienne and I'll be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we'll conduct a question-and-answer session. Please note this conference is being recorded. I'll now turn the call over to Matt Dolan. Matt Dolan, you may begin.
Matthew Dolan - DexCom, Inc.: Thank you, operator, and welcome to DexCom's third quarter 2018 earnings call. Our agenda begins with Kevin Sayer, DexCom's Chairman, President and CEO, who will provide a summary of the quarter, followed by a financial review and outlook from Quentin Blackford, our Executive Vice President and CFO, and then a strategic update from Steve Pacelli, our Executive Vice President of Strategy and Corporate Development. Following our prepared remarks, we will open up the call for your questions. At that time, we ask analysts to limit themselves to one question and one follow-up so we can provide an opportunity for everyone participating today. Before we dive in, I'm also pleased to announce that DexCom will be hosting an investor meeting next month on Tuesday, December 4, in Orange County, California, where we will discuss our business and long-term outlook in more detail. The event will be available via webcast. Attendance in person is by invitation only and space is limited, so please make sure to reach out to us directly with any questions. We look forward to seeing a number of you there and diving deeper into the opportunities we see ahead of us. With that, let's review our Safe Harbor statement. Some of the statements that we will make in today's call may constitute forward-looking statements. These statements reflect management's intentions, beliefs and expectations about future event, strategies, competition, products, operating plans and performance. All forward-looking statements included in this presentation are made as of the date hereof, based on information currently available to DexCom, and are subject to various risks and uncertainties, and actual results could differ materially from those anticipated in the forward-looking statements. The factors that could cause actual results to differ materially from those expressed or implied by any of these forward-looking statements are detailed in DexCom's Annual Report on Form 10-K, quarterly reports on Form 10-Q and other filings with the Securities and Exchange Commission. Except as required by law, we assume no obligation to update any such forward-looking statements after the date of this presentation or to conform these forward-looking statements to actual results. Additionally, during the call, we will discuss certain financial measures that have not been prepared in accordance with GAAP with respect to our non-GAAP and cash-based results and the rate of growth in our revenues. The presentation of this additional information should not be considered in isolation or as a substitute for our results or superior to results prepared in accordance with GAAP. Please refer to the tables in our earnings release and the Investor Relations portion of our website for a reconciliation of these measures to their most directly comparable GAAP financial measure. Now, I will turn it over to Kevin.
Kevin Ronald Sayer - DexCom, Inc.: Thank you for joining us. I'm excited to report that DexCom has maintained the strong momentum that we have seen all year with third quarter sales up 45% over the same period last year on a constant currency basis. Both the U.S. and OUS businesses were solid, driven by a continued increase in awareness around the value and convenience of real-time CGM. The G6 launch has been well-received, helping to drive strong new patient additions. To give you some perspective, our U.S. commercial new patient pipeline has more than doubled as compared to this time last year, and our Medicare business continues to build nicely. Our OUS business grew faster this quarter than in any period over the last five years. Remember, of course, that the franchise was much smaller five years ago. Our investments in the international infrastructure are clearly paying off, and all of our key markets drove growth in the quarter. Now as it relates (00:04:17) to our numbers, demand continues to outpace our expectations. We have been moving aggressively to build up incremental capacity and are making meaningful investments to ramp production and service capabilities. From a cost perspective, DexCom remains committed to demonstrating leverage. Revenue growth exceeded the increase in operating expenses by more than 2 times for both the third quarter and our year-to-date results. Quentin will provide you with more detail around our financial performance and outlook in a moment. The G6 system is already available in 14 countries and we will continue to roll that globally in 2019. As part of our plans, we recently announced that CMS has approved G6 and we intend to bring this great technology to our Medicare-eligible customers in early 2019. All-in-all, we've put up a fantastic quarter. Considering the significant level of demand for DexCom CGM and the benefit of the new product cycle, we have again increased our revenue outlook. 2018 has exceeded our expectations in every way. And in G6, we have the technology that builds on our industry-leading sensor performance and truly enhances the patient experience more than anything we have ever done. But most importantly, we are only five months into the launch and seeing significant potential in this platform over the next several years. With that, I will now turn the call over to Quentin for a review of our financials.
Quentin Blackford - DexCom, Inc.: Thank you, Kevin. Today, we reported worldwide revenue of $266.7 million for the third quarter of 2018 compared to $184.6 million for the same quarter in 2017, reflecting growth of 44% on a reported basis or 45% excluding the impact of currency, and representing the fourth quarter in a row of accelerated growth. Notably, our key indicators including growth in sensor volumes, international revenue and our global patient installed base, all drove our third quarter growth rate and a sequential quarterly increase in revenue of 10%. Notwithstanding the terrific results for the quarter and consistent with previous commentary around our guidance, we began to realize reduced revenue per patient for a few reasons. International continues to become a larger part of our business. Medicare continues to become a bigger part of the U.S. franchise and we have had success in moving some of our commercial payer contracts into the pharmacy channel. Adjusting for those headwinds, our U.S. revenues would have grown approximately 40% in the quarter versus the 34% reported. International sales were up 93% over Q3 2017 on a reported basis or 95% excluding the impact of foreign currency, and grew 22% quarter-over-quarter. International hit another high watermark as it represented 24% of worldwide sales in the quarter with all major markets nearly doubling from the prior year. Our third quarter gross profit was $168.6 million resulting in a gross margin of 63.2% in the quarter and in line with our expectations. As anticipated on our last call, the teams have been working hard to eliminate the inefficiencies of ramping production and starting new production lines, which allowed us to exit the quarter with production yields back in line with historic levels and positioning us well to see an improving gross margin in the fourth quarter. Operating expenses were $154.7 million for Q3 2018 compared to $127.5 million for Q3 2017. This reflects an increase of 21% year-over-year and compares favorably to our revenue growth of 44%. For the first nine months in the year, we have realized top line growth of 39% while operating expenses have grown at less than half of that rate at 18%. This comes even as we continue to invest in key strategic initiatives that position DexCom well for the future. Adjusted EBITDA, which excludes the impact of share-based compensation, foreign currency losses and $35 million of investment income, was $48.8 million or 18% of revenue for the third quarter, an improvement of 250 basis points year-over-year and 700 basis points sequentially. Our GAAP net income was $46.6 million or $0.52 per share. Adjusting to exclude the $35 million of investment income and $3 million of non-cash interest expense related to our convertible notes, non-GAAP net income was $15.1 million or $0.17 per share. Our balance sheet remains strong, having ended the quarter with $669 million in cash and equivalents and full availability of our $200 million revolving line of credit. Turning to guidance, we are increasing our annual revenue forecast by $50 million to $975 million, reflecting the reported growth of 36%, essentially 2 times our original growth outlook at the beginning of the year. As we planned at the beginning of the year and realized in the third quarter, we expect the impact of lower revenues per patient to continue into the fourth quarter. In line with our previous comments, we anticipate gross margin to rebound in the fourth quarter to approximately 65%, resulting in a gross margin of 64% for the full year. Despite the $50 million increase in our annual top line expectation, we are not revising our overall operating expense outlook and continue to expect GAAP operating expenses will increase by approximately 18% for the full year. This includes both our core operating expenses as well as investments being made for new market opportunities. As I reflect on my first full year as CFO, I could not possibly be more excited about our top line growth prospects, ever-increasing opportunities for innovation that will continue to set us apart, and importantly, our commitment to becoming more efficient in how we conduct our business. Notably, the teams are demonstrating their strong desire to manage spend appropriately, allowing us to make investments where necessary and deliver an improving profitability profile at the same time, setting up for an exciting future. With that, I will now turn the call over to Steve for a strategic update.
Steven Robert Pacelli - DexCom, Inc.: Thank you, Quentin. The launch of G6 remains DexCom's primary strategic priority for the remainder of 2018 and into 2019. Beyond G6, we are thrilled to welcome TypeZero Technologies to the DexCom family, following our acquisition of the company in August. The team and the company's technology align well with our strategy. Specifically, the inControl closed-loop algorithm provides DexCom with that another critical component in an automated delivery system. We look forward to first bringing it to market with our San Diego neighbors, Tandem Diabetes. In addition, TypeZero will advance our decision support roadmap, which includes both our core intensive business and other non-intensive programs. The TypeZero acquisition was catalyzed in part by the FDA's iCGM classification for G6, which we believe will help bring a greater number of insulin delivery solutions integrated with DexCom's CGM platform to market over the next couple of years. The shift towards CGM integrated systems is advancing quickly, including both automated insulin delivery and smart pens and we are confident in the competitive position that we have developed through our collaborative strategy. In addition to Tandem, we are encouraged that Insulet and Lilly continue to progress well toward product offerings that will simplify diabetes management. And at EASD last month, Novo Nordisk announced that they have added DexCom as a partner of its connected pen offerings. Our vision for DexCom's role in insulin delivery is (00:12:33). Whether patients prefer that their insulin is delivered by pump or pen, we're ensuring that their integrated systems can be driven by DexCom's sensor technology and that their data can be presented and assessed in one complete picture. Beyond our core insulin business, we continue to explore new market opportunities that will expand DexCom's long-term growth profile. For example, many of you saw the recent 510(k) clearances we received for devices supporting our development efforts outside of our intensive business. The first clearance relates to a software application based on our core G6 sensor and algorithms and had certain features that are tailored to people with diabetes in the non-intensive population. And the second is a fully-disposable glucose recording device indicated for all people two-years and older, not exclusively people with diabetes. We believe this product is the first step in making CGM a valuable diagnostic tool across all of healthcare. This is a great example of the advantage of our Class 2 designation as we can rapidly integrate the 510(k) route, while meeting the stringent performance criteria managed by special controls. And although we are still early, we believe the G6 system is truly a platform technology and you'll see us continue to invest in these initiatives over the next few years. As you can see, we have made significant progress with our pipeline, building on the capabilities of our G6 platform and we'll begin using disposable G6 CGMs in various pilot activities in 2019 and beyond. Additionally, with respect to our product collaboration with Verily, we continue to consider options to utilize the first generation system and we've shifted significant resources to the second-generation device, which is on track for a late 2020 or early 2021 commercial release. With that, I' will pass it back to Kevin.
Kevin Ronald Sayer - DexCom, Inc.: Thank you, Steve. We are very pleased with DexCom's performance through the first nine months of 2018 and continue to push the team to ramp-up G6 production to meet demand. As you can tell, we've exceeded growth expectations as CGM awareness accelerates and patients realize the clear benefits of DexCom's capabilities. With respect to our outlook, our new growth guidance is twice what we anticipated at the beginning of the year. And we are still only scratching the surface of the opportunity for CGM and remain confident in our ability to grow over time. With the number of market dynamics still in play, we will remain thoughtful in how we establish our forward expectations. To the DexCom team, what a year so far and let's finish strong. The company's leadership is incredibly grateful for everyone's hard work this year throughout the world, including our new friends at TypeZero in Charlottesville, Virginia. To wrap up, 2018 is proving to be a wonderful year thus far for DexCom and we remain in the early-stages of the launch of G6 and the growth of real-time CGM. We look forward to seeing many of you next month in our Investor Day. We would now like to open up the call for Q&A. Matt?
Matthew Dolan - DexCom, Inc.: Thank you, Kevin. As a reminder, we ask our audience to limit themselves to only one question and one follow-up. Operator, please provide the complete Q&A instructions.
Operator: Thank you. And our first question comes from J. P. McKim from Piper Jaffray. Please go ahead. Your line's open.
J. P. McKim - Piper Jaffray & Co.: Hi. Thanks for taking the question and congrats on a really strong quarter. I wanted to actually start first with the G5 510(k) approvals that you have out there. A, as you cited now you're working on your own disposable and so if you can elaborate on that. And then maybe, two, you've had a lot of conversation with payers like incentive change in the business model. And are they open to covering this non-intensive patient population at this time or are they waiting for future clinical data? Thank you.
Steven Robert Pacelli - DexCom, Inc.: So this is Steve. I'll take the first part and let Kevin handle the insurance reimbursement portion. So, yeah, I mean, we've always maintained the G6 as a platform technology, right. So what you saw in the G5 510(k) approvals is nothing more than really an extension of the core G6 platform. And quite frankly, we expect to ride this platform for a number of years. As you maybe have saw (00:17:23) with it, even the transition from kind of G4, G5 into G6, it just doesn't happen overnight. So while we're still big believers in that second-generation Verily disposable, we thought it best to leverage something particularly in the iCGM world where we can integrate very rapidly off of our existing platform. We thought it was in our best interest to start learning and advancing our strategies outside of our core intensive insulin business. So with respect to insurance, I mean we've got a number of pilots in the works. You guys know about the United pilot. Kevin, why don't you...
Kevin Ronald Sayer - DexCom, Inc.: Yeah. With respect to the non-intensive world, we do believe that payers will eventually cover that. It depends upon the form of the program and how the CGM is going to be used. I think one of the 510(k)'s that you saw approved where we have a device that can be used across all segments of the health care world, not just patients with diabetes is a good step in that and the diagnostic product as well. We do believe we will get payment for that, but that's going to take years to develop. I mean, we're several years into getting CGM reimbursed in the Type 1 and in intensive space for now. And that's going to take a while also, but we're optimistic, we're very confident it'll happen.
J. P. McKim - Piper Jaffray & Co.: That's helpful. And then maybe could you just give like broader base, I know you're – like where are you at in terms of your covered lives in terms of niche channels like the pharmacy versus subscription? Like are you – 30% of your volume goes that way, the rest of goes to DME. Like, how long could this revenue per patient kind of be a little bit of a headwind? And are you getting more access to the volume to offset that?
Quentin Blackford - DexCom, Inc.: Yeah, J. P., this is Quentin here. Good question. We're north of 40% of our lives, covered lives, are through the pharmacy channel now. I would say that G6 is in the majority of all of those. So we've made great progress in bringing kind of G6 into that channel, if you will, and there's a lot of benefit that comes with it. Obviously, ease of access for the patients, which we believe over time can improve utilization trends, it becomes easier for the physician to prescribe as well, which we think has implications on volume and then just generally trying to expand the coverage universe as we move into that channel also. So our view is we're starting to realize some of the revenue per patient headwind that we started to communicate at the beginning of the year. Obviously, we're navigating that quite well with the 44% growth in the quarter and we believe we can continue to do that as volume remains very strong. So highly confident in our ability to navigate through it, but we're going to see it in the fourth quarter. You'll probably see a bit of it in Q1 and Q2 of next year. Then, we start to anniversary out what we just saw in Q3 and will have seen in Q4. So that's how we think about it.
Operator: And our next question comes from Joanne Wuensch from BMO Capital. Please go ahead.
Joanne Karen Wuensch - BMO Capital Markets (United States): Hi. Can you hear me okay?
Kevin Ronald Sayer - DexCom, Inc.: Yes. Joanne, we can hear you okay. (00:20:23)
Joanne Karen Wuensch - BMO Capital Markets (United States): Terrific. I have two questions. The first one has to do with the way that you've provided guidance and that you're growing at 2 times your initial growth rate. While I'm thrilled by that, don't get me wrong, where do you think it's different today than when you first set it up?
Quentin Blackford - DexCom, Inc.: Yes. So, Joanne, this is Quentin. Obviously, we talked about price or channel mix headwinds being roughly 5 to 10 points in that initial guidance at the beginning of the year. I think what you're seeing play out or what did play out over the course of the year is that those headwinds didn't start to hit in Q1 or Q2. They've really started here in the third quarter and fourth quarter. So those pricing channel mix headwinds weren't as significant as we originally thought. That account for a portion of it, but the vast majority, far and away, there's just no way around it is truly a volume increase in the overall business. And I think that comes back to the point we've talked about historically, which is awareness of the value of CGM is becoming more and more prevalent, people understanding it to a much greater degree. And that's really what has driven the upside over the course of the year to the majority of the extent.
Joanne Karen Wuensch - BMO Capital Markets (United States): Thank you. And my follow-up question has to do with Verily. Can you walk us through what are the steps to bring this to market? And if I read between the lines in your comments, you may not bring Type 1 to the market, or did I read that wrong? Thank you.
Kevin Ronald Sayer - DexCom, Inc.: Hi. This is Kevin. We continue to explore options with the first-generation product. We've always indicated that, that was never going to be a huge revenue producer for us. And in all candor, we're all hands on deck with G6 launch right now, so we're exploring options with product 1. Product 2 is a completely new platform, very similar to G6. We're not going to go into all the details regarding it. But suffice it to say, with new electronics, new insertion system, new sensors, pretty much everything, there are going to be a lot of steps, there will be a large clinical study and there are things we're working on. That project is going very well right now. And then, we are on schedule with our internal plans, but it's going to be a big move the Earth effort, similar to what we've had to do with G6.
Operator: And our next question comes from Robbie Marcus from JPMorgan. Your line is open.
Unknown Speaker: Hey. This is actually Christian (00:22:42) on for Robbie. Thanks for taking the question. Wanted to start first on the OUS business, I think that was probably the biggest upward surprise in the quarter, almost double the business year-over-year on a constant currency basis. What countries are you seeing being really strong growth internationally right now? And what are the opportunities for expansion that you still have ahead of you with G6 going into 2019? Thanks.
Quentin Blackford - DexCom, Inc.: Yeah. So when you look at the international business, it was really strength across the entire board. All of our major markets for the most part were double where they were at from the year before. So it wasn't any one particular market that outgrown or outpaced growth relative to the others that really drove the overall result. It was very widespread and really across all regions for that matter. So I'm very happy with what we're seeing play out in the international space. A lot of opportunity continues in front of us yet. We've gotten approval into the Japan market, same with the Korean market. Those have become significant opportunities for growth into the future. We're not yet selling into those. So those become exciting opportunities and then there's several EU countries that remain as opportunities for us as well. So I think we're still in the very early-stages of where that international business can grow. Obviously, having tremendous success and it really is widespread at this point.
Unknown Speaker: Thanks. And then maybe turning to the U.S. Given your results and the very positive results from competitors in the U.S. in the CGM space, obviously, utilization has ticked up pretty significantly. Do you have an updated estimate of where Type 1 CGM utilization stands in the U.S. and where you see that going forward? Thank you.
Steven Robert Pacelli - DexCom, Inc.: Yeah. I think you might be asking for penetration in Type 1, not utilization. When we talk about utilization, it's really utilization of sensors on a per patient basis. So it's hard to tell because we do not break numbers from – specific numbers out of Abbott or Medtronic, but we estimate that the category is somewhere in the 25% to 30% range in Type 1. Still very little penetration in intensive Type 2 and we're just getting our feet wet in non-intensive Type 2s and beyond that. So it's probably our best estimate.
Operator: And our next question comes from Jeff Johnson from Baird. Please go ahead. Your line is open.
Jeff D. Johnson - Robert W. Baird & Co., Inc.: Thank you, guys. Can you hear me okay?
Kevin Ronald Sayer - DexCom, Inc.: Yes.
Quentin Blackford - DexCom, Inc.: Yes.
Jeff D. Johnson - Robert W. Baird & Co., Inc.: Yes, great. Good evening. So, Quentin, maybe I want to follow up first on your 40% or greater than 40% of covered lives through pharmacy at this point. We often have this Pollyannaish view that once you go to pharmacy, a doc will just have to write a script, the patient can walk out the door and go down to CVS or Walgreens and get that filled. Is that truly that 40% of U.S. commercial covered lives right now can really get CGM that easily? Are there other hurdles there? And if there are other hurdles even in pharmacy, just kind of how do you expect that to play out over the next couple years? Does it continue to get easier and easier for these patients?
Quentin Blackford - DexCom, Inc.: Yeah. I think that's the right way to think about it. It certainly is much easier. Every payer has a little bit of a nuance to what they require, but the way you've described it there is very much in line with how we see it moving over time. And that it is the ease of access that comes through that pharmacy channel relative to DME. And that's why we think incremental volumes or even utilization trends can change for patients, which drives incremental volume over time and that becomes the attractive nature of it. And obviously, with that it becomes the opportunity to reduce the back-office overhead cost of administering a pharmacy claim versus a DME claim. So you described it accurately. That's the excitement we have around that channel and that's why we think long-term, it is a better channel for the company to be pursuing.
Jeff D. Johnson - Robert W. Baird & Co., Inc.: Yeah. That's helpful. Thank you. And then, Kevin or Steve, maybe just would love – we're all out there trying to talk to docs and understand the competitive environment, things like that. But as you're out there talking to your prescribers and maybe some competitive docs who are using other products, just what are you hearing out in the field with, between Libre, probably more Libre than the (00:26:56) at this point? But just is it truly only market expansion? Is there some overlap where you guys are competing aggressively head-to-head for a Libre versus a G6 patient? Just any update there would be helpful. Thanks.
Kevin Ronald Sayer - DexCom, Inc.: Yeah. I'll take that one. As I've been out and about, the one perception that is very clear that these are two very different products. We are a continuous glucose monitor, which provides the continuous data feed with alerts and alarms and with a level of accuracy and standards we have to adhere to with iCGM that Libre does. The providers understand that. They understand what a patient's going to get. They understand all the features that we have. We recently, for example, reviewed some Net Promoter Scores today coming from an independent source and our G6 Net Promoter Scores were off the chart. And I would tell you just anecdotally that the feedback we're getting on G6 is unlike anything we've ever done. I made this statement on the earnings call that this is a patient experience unlike anything we've ever done before and it's absolutely true. The features we put in that system make it very, very desirable. At the end of the day, we talked about the things we need to drive more awareness and more access to get this available and get it on to more people and we continue to do that. And so what we've had great response so far in our markets, and we think we can take G6 to a number of places.
Operator: And our next question comes from Jayson Bedford from Raymond James. Please go ahead.
Jayson T. Bedford - Raymond James & Associates, Inc.: Good afternoon. Thanks for taking the questions. Just a couple. In terms of the reduction in revenue per patient, it's a bit of a – I don't remember you calling that out, at least quantifying it in the past. Did you see any headwinds in the second quarter or is all this tied to the G6 launch?
Quentin Blackford - DexCom, Inc.: Yeah. I think the way to think about it is, let's separate price from mix for just a second. When we look at price kind of same-store, same product or same channel, a very consistent view of it, we're actually seeing very good trends in the business. Price is holding in flat, if not even slightly up in some of the business, particularly on the sensor side. So price itself is holding in just fine. Where you're seeing pressure of the lower revenue per patient is really from a mix perspective, that the combination of international being larger as a portion of the overall business, that's Medicare growing faster than the overall business. But what we really saw in Q3 that became unique relative to other quarters was our approach to really push into the pharmacy channel and lead with G6, so where we were willing to concede some price for the G6 system in lieu of broader access or moving out of DME into pharmacy over time because we believe that ultimately incremental volumes are going to result from that, and that the volume increase will more than offset the price and we're willing to give up. So that was really a Q3 phenomenon that started to pick up we hadn't seen in the prior quarters into our guidance, we expect that to be there in Q4. So that's what we're talking about, trying to describe. It really is more of a mix issue versus pure price. Price has hung in there pretty well.
Jayson T. Bedford - Raymond James & Associates, Inc.: Okay. That's helpful. And then just as a bit of a follow-up. Receiver growth accelerated quite a bit in the quarter. Was that a pretty clean number or was there a bit of a catch up from any type of deferred revenue? Thanks.
Quentin Blackford - DexCom, Inc.: No catch up. I mean, just to be clear on the deferred revenue or any catch up, there was roughly $3 million in the quarter. You guys recall that in Q2, we talked about the G6 promotion program that we had. We did see $3 million come through in the quarter, but what really drove the receiver growth relative to the fact it was outpaced compared to the other categories is just really twofold. One, new patient additions are up significantly and that pipeline has more than doubled what it was the prior year. So you're seeing new patient realization come through that number. It shows up very clearly. And then, you also have folks upgrading from the G5 to the G6 program, which, again, very encouraging for us as we think into the future as they're going to stay on that G6 system ultimately translates into other product revenue for us.
Jayson T. Bedford - Raymond James & Associates, Inc.: Thank you.
Operator: And our next question comes from Travis Steed from Bank of America.
Travis Steed - Bank of America Merrill Lynch: Thanks for taking the questions and congrats on a great quarter. Wanted to follow-up on the new patient funnel. You mentioned the pipeline of new patients more than doubled. Can you maybe comment on how long it takes to convert these patients into new users? And if you look at your predictive metrics, are there any changes that would suggest that the recent momentum won't continue into 2019?
Kevin Ronald Sayer - DexCom, Inc.: Let's stick to 2018 for today. With respect to converting these patients, we do have metrics and a lot of that varies depending upon the payer mix within that pipeline. Some of the payers require much more incentive documentation and others require a very little. And we really don't disclose that number. We have had a bit of a delay in our patient pipeline in all candor due to product availability on our side. So that has been a little slower in some cases, but by and large, referrals are coming in at a faster rate than they ever have for us, both from the payer community and from our direct to consumer advertising campaigns. People very much enjoy G6 and word is getting out there. We're hopeful that it's very strong in 2019, but we'll wait for early 2019 to give you more feedback on that.
Travis Steed - Bank of America Merrill Lynch: Okay. That's fair. And in terms of the six point headwind in the U.S., I don't know, Quentin, if you'd be willing to split that out between the impact of Medicare versus the pharmacy channel. And also, the 40% of your business is in pharmacy now. If you could give us a sense for maybe where that was at the beginning of the year, just to give us a sense for how quickly the business has been shifting? And also, as you're making headway in the pharmacy channel, could you maybe comment on margins, both gross and operating margins, in that segment of the business?
Kevin Ronald Sayer - DexCom, Inc.: That's about six questions.
Quentin Blackford - DexCom, Inc.: A lot of there. Look, I'll tackle a few of those. In terms of the revenue per patient headwinds in the quarter, when we normalize that U.S. growth rate to say that reported was at 34%, excluding the revenue per patient headwind, we would have been up around 40%. That was really all the pharmacy channel headwinds for the most part. Nearly all of it was driven by that. So that was the big aspect of that. In terms of the coverage, we've seen the coverage increase. We said north of 40%. So obviously, coming into the year, we were south of there. We're seeing good progress. I think what is becoming apparent to us is that there are certainly some payers who are not going to move into pharmacy channel. They prefer to be a DME benefit and that's how we're going to continue to adjudicate it. So we know that we're not going to see that go to 100% over time, but we do expect it will continue to uptick and improve beyond the 40% that we see today. I think that address most of the questions you had in there.
Operator: And our next question comes from Doug Schenkel from Cowen. Please go ahead.
Ryan Blicker - Cowen & Co. LLC: Hi. This is Ryan on for Doug. Thanks for taking my questions. Exciting to see the pharmacy progress you've made. Can you talk a bit more about access changes with G6, particularly for intensively managed Type 2 patients in the U.S.? Medicare coverage has been in place now for a bit, but have you seen any progress for intensively managed Type 2 patients among private payers?
Kevin Ronald Sayer - DexCom, Inc.: Yeah. This is Kevin. I'll take that. We have seen some increase in Type 2 intensive insulin and the patient coverage. It is up. It's certainly not all of them yet, but we have used this opportunity to get to more of those patients. So that has increased.
Ryan Blicker - Cowen & Co. LLC: That's great. And then, you mentioned the Novo announcement regarding connected insulin pens in your prepared remarks, but no timelines were provided regarding the decision support solutions directing (00:35:01) those Bluetooth enabled pens, driven by DexCom CGM. Is there something that could be launched in 2019, whether with Novo or other partners, or will it take a bit longer?
Steven Robert Pacelli - DexCom, Inc.: We certainly hope to start running. In fact, we're running some smaller pilots studies today, but you may see some commercial activity in 2019. Certainly by 2020, we expect to start to rolling that on a broader commercial basis.
Operator: And our next question comes from Danielle Antalffy from Leerink Partners.
Danielle Antalffy - Leerink Partners LLC: Hey. Good afternoon, guys. Thanks so much for taking the question. Congrats on a really strong quarter. Just wanted to ask Quentin about – appreciate you're not going to provide color on 2019 specifically. But given all the moving parts here, if you think about volumes versus price, what do you think is a sustainable growth rate going forward kind of longer term? And I know you're going to get into this more at the Analyst Meeting in December, but curious what you can comment on now and how to think about all of the puts and takes to the numbers.
Kevin Ronald Sayer - DexCom, Inc.: Sure. Look, I think we've talked a little bit, Danielle, already about the fact that we're not going to get out and provide 2019 guidance just yet, but I've given you a little bit of color already around some of the revenue per patient headwinds. And clearly, we saw it starting in Q3. We expect it to kind of accelerate a bit into Q4. And as a result, we would think that it's going to play out in Q1 and Q2 of next year and we start to anniversary in Q3 and Q4. So we think it's very navigable. We feel very good about our ability to see volumes continue to be very strong and offset those pricing pressures. And we know where the Street's at relative to their 2019 models at this point in time, sitting around the $1.125 billion. I'm not uncomfortable with that and feel good about that number, but we'll give more clarity and more specific updated guidance in the future when we're ready to talk about that in line with kind of where we have historically done that. But we feel good about where they're at this point in time.
Danielle Antalffy - Leerink Partners LLC: Okay. That's helpful and just one quick follow-up. As we look at the December 4 Analyst Meeting, which I'm very excited about by the way, what can we expect to see there? So you mentioned long-term growth outlook, a little bit more color there. What about from the pipeline? I assume that's going to come into color a little bit more clearly. And then also, anything on the Type 2s and partnership with UNH there that we could expect to see at the Analyst Meeting? Thanks so much.
Kevin Ronald Sayer - DexCom, Inc.: We're putting that agenda together right now. Suffice it to say, you'll probably hear a little bit on all those fronts. We're just getting our ducks lined up in a row and getting everything ready for presentation. But you'll certainly hear the product pipeline, you'll certainly hear our long-term view of our business that we remain very bullish and then some of the other cool things we're working on.
Danielle Antalffy - Leerink Partners LLC: Okay. Thanks.
Operator: And your next question comes from Steven Lichtman from Oppenheimer. Please go ahead.
Steven Lichtman - Oppenheimer & Co., Inc.: Hey, guys. I'm flying in. Just the first question, if you can hear me, on the pharmacy channel shift, are you already at a point where you can start leveling off incremental investment in back-office functions, given the smoother nature of that process, or is that something we should potentially look for in the future?
Kevin Ronald Sayer - DexCom, Inc.: Yeah. This is Kevin. I'll take that. We are trying to optimize our back-office support right now. And again, while we have many, many covered lives, not 40% of everything goes through that channel right now. There's still some mix between DME and pharmacy in some of those payers. This business is not any less confusing than it was six months ago. We just feel like we're making really good progress on our major strategic initiatives here. Over time, that back-office can come down, but there's several elements to our back-office support as well. There's not only the back-office sales support for reorders, there's new customers, there's new patients, there's training, there's tech support, there's a number of areas. And we're looking to streamlining all those operations, make them more efficient, but we're also looking to make sure we take care of our patients and make sure they have a good experience with us. So we have to balance them. Over time, obviously, we would like to be more efficient, but we're just playing it out. There's nothing in our numbers that would reflect any of that at this point in time.
Steven Lichtman - Oppenheimer & Co., Inc.: Got it. And then, just a quick one on the pipeline. Is the 14-day label something we could potentially see over the next year? What's your latest thoughts on bringing that or going after that extension?
Kevin Ronald Sayer - DexCom, Inc.: Yeah. This is Kevin. I'll take that one, too. Extended wear certainly is something we are looking at. We're evaluating the performance of our current G6 system against the iCGM standards that we remain adherent to. We're very happy to play in the 510(k) world. We have to make sure we create a patient experience on the extended wear that is really superb for them. One of our biggest issues it doesn't take a lot to read is our adhesive. We have new adhesive in the pipeline that'll be coming out in the not too distant future. We wouldn't, for example, go to an extended wear until we have the new adhesive into our manufacturing processes to get better stick them on the product. And so we're evaluating that. It certainly is something we will do. It's just a question of when and what modifications we have to make in the system to go there.
Steven Lichtman - Oppenheimer & Co., Inc.: Got it. Thanks, Kevin.
Operator: And your next question comes from David Lewis from Morgan Stanley.
David Ryan Lewis - Morgan Stanley & Co. LLC: Good afternoon, guys. Quentin, maybe just one for you and a related follow-up. I know we're not going to talk about 2019 but just taking the fourth quarter guidance, obviously, it implies kind of an implied slowdown and that's sort of been your tact (00:40:53) sort of all year. You wanted to maintain that flexibility. But since there's two months left in the year, Quentin, the only dynamics you don't understand – pricing's to be stable, you understand the Medicare headwinds, so the only dynamic in the fourth quarter seems to be greater progression of the pharmacy channel. So that six point separation, Quentin, 34% to 40%, are you expecting that to widen in the fourth quarter? And if it does wide in the fourth quarter, does it wide still into the first or second quarter or do you see that six point separation as pretty stable?
Quentin Blackford - DexCom, Inc.: Yeah. So let me – I'll just walk you through kind of how we think about that fourth quarter and the revised estimates to our guidance. So obviously, our guidance implies roughly 25% growth in the fourth quarter coming off of what is 44% in the third quarter. I think, one, you got to keep in mind that fourth quarter has witnessed this toughest comp of the entire year, and the comp alone is going to account for roughly 5 points of growth headwinds in terms of year-over-year growth. And then, we believe there's probably 10 points of price headwinds or revenue per patient headwinds coming from that pharmacy channel. So those two items together give you roughly 15 basis points of headwinds that if you took the 25% in our guidance, normalize it back to that, you're up around 40% and getting pretty comparable to where we were at in the third quarter and even the second quarter. I think the one other thing just to point out is, OUS, obviously, was a tremendous growth quarter for us in the third quarter, up 93%, very bullish on what's going on there, but also not willing to call 93% growth a trend just yet. That business has grown somewhere around 75% through the first nine months of the year. We think we'll replicate something like that in the fourth quarter. But I think you take those moving pieces that I just gave you right there, guidance in the fourth quarter starts to make a lot of sense for you.
David Ryan Lewis - Morgan Stanley & Co. LLC: That's super, super helpful, Quentin, actually very clear, more than I was hoping for. And just a related question on profitability. So this pharmacy benefit channel has always been talked about as a significant profit driver for the business. So as I think about the third quarter, you made money, some of that was lower spending with United. But is this an inflection quarter, Quentin, with 40% pharmacy channel penetration where you build from here heading into 2019, given the success you've had in that channel?
Quentin Blackford - DexCom, Inc.: David, you're going to hear us talk a lot more about profitability and the path forward at the Analyst Day. I think what we're seeing right now in the business is a couple of things. One, the organization is doing a tremendous job of instilling the discipline around controls of spending and then ultimately where we invest for the greatest opportunity to drive growth into the future but those opportunities are significant. There's all kind of alternatives, market opportunities, new markets that we're not in today, that we think our technology has a tremendous opportunity to really differentiate and make a significant difference for patients. And we're going to continue to pursue those. So I think on a go-forward basis, it's all about growth for us. At the same time, it's creating the opportunity internally to make sure that the spend is going into those opportunities that give us the greatest opportunity to drive future growth. And that's how we're thinking about profitability right now is we'll drop it through, if the investment opportunities are there, but we want to fine-tune our operations internally to make sure we're investing in those things to give us the greatest chance of success in the future.
Operator: And your next question is from Brandon Vazquez. Please go ahead. Your line is open.
Brandon Vazquez - Canaccord Genuity, Inc.: Hi. Thanks for taking the question and congrats on a great quarter. I wanted to go back and focus on the international market. It's been obviously a really strong point for DexCom the past several quarters. Specifically, what kind of investments have you made in the channel in the last 12 to 18 months? And can you just give us an update on how big your direct presence is in the international markets and maybe which of those regions you might want to look to invest more going forward?
Kevin Ronald Sayer - DexCom, Inc.: Look, I'll jump in for a second here, but...
Unknown Speaker: (00:44:46)
Kevin Ronald Sayer - DexCom, Inc.: Yeah. I think you look at Germany, for example, a market that we made an acquisition of a distributor a little over a year ago, We continue to invest in building out that infrastructure and really position it for success well into the future. We're seeing great benefits as a result of that and the growth there has been phenomenal. You look at the UK, which is a direct market, seeing the same thing. So I would say we're very happy with those investments. We know the long-term opportunity of being direct in those large markets outweighs not being direct. So excited about what we're seeing there. Steve, maybe -
Steven Robert Pacelli - DexCom, Inc.: I would add. We would look to be opportunistic where we see reimbursement coming into play. So, for example, our path into Korea was actually much more rapid than we expected and together with that actually came some initial reimbursement. Japan, the same thing. We entered into Japan's professional market, whether it's reimbursement for a professional-type product, but we also entered a cycle where we think over the next maybe 18 to 24 months, we would be in a position to have reimbursement for consumer use for CGM, which should line up nicely with when we expect to have a G6 launch into that market. So, certainly, all about being opportunistic before we look to go direct in these markets.
Unknown Speaker: Great. Thanks. And as a follow-up, can I go into the G6? Can you just talk about maybe how G6 upgrades are tracking within your legacy G5 installed base? And maybe if you don't want to break out what percent of your installed base is on G6, so maybe when do you expect the majority of your G5 patients to be upgraded to G6? Thanks.
Kevin Ronald Sayer - DexCom, Inc.: Hi. This is Kevin. I'll take that. I can tell you that we have more G6 users than we have G5, and G6 sensors accounted for a larger percentage of our sensor volumes than G5 did in this quarter, but there's still quite a few G5 patients out there as transmitters have to expire and as the Medicare patients use the system. So it'll be certainly a period of time before G5 is insignificant without a business. We still have commitments in some foreign markets and with some other patients to where we are on a – we'll support it for a while, but the change is happening very rapidly.
Operator: And your next question comes from Raj Denhoy from Jefferies. Please go ahead. Your line is open.
Anthony Petrone - Jefferies LLC: Thanks. Anthony for Raj. Maybe a question back on the pharmacy channel, just in terms of co-pay assistance. It sounds like Abbott has taken a page out of the pharma book and has a co-pay assistance program in there with Libre. I'm wondering where DexCom stands with co-pay assistance? And if it does have one in place, does it essentially walk down the co-pay to zero?
Kevin Ronald Sayer - DexCom, Inc.: Yeah. We've had programs like that over time, Raj (sic) [Anthony] (00:47:44), and it's not unusual to have that. So we have done some things like that in the past. That isn't how we've been running it, but that has been a portion of our business before.
Anthony Petrone - Jefferies LLC: Okay. And then, maybe at this point, can you maybe speak to the price difference that's out there in the market today with just the numerous offerings out there? And the new data point on this call, or at least one of them, was the non-intensive initiative. I know it's early days there, but can you maybe help us think about how to think of sort of the size of that opportunity and maybe timing, when that actually becomes part of the business? Thanks again.
Steven Robert Pacelli - DexCom, Inc.: Yeah, I mean non-intensive revenue is by no stretch material at this point. I think 2019 is probably still going to be a year of learning in terms of more frequent pilot studies and really continues to be an investment year on the non-intensive side with a hope of coming out of 2019, we have a little more defined what our go-to-market strategy is. I'm not going to actually comment on what we think and what we're thinking because we don't need to give competitors our playbook here. But it's really probably 2020 and beyond where you start seeing the non-intensive piece of the business become a little more material. I don't know what the other portion – part of the question was.
Kevin Ronald Sayer - DexCom, Inc.: The price differential, which I'm not going to get into discussing the price differential at this point. We're still in the early stages of deciding how we approach those markets.
Operator: And your next question comes from Ravi Misra from Berenberg Capital. Your line is open.
Ravi Misra - Berenberg Capital Markets LLC: Hi. Thank you for taking the questions. Just want to throw out – you're guiding $975 million. And Quentin, I think you talked a little bit about channel and price mix headwinds that hit later on in the year, much later than you'd expected. How do you factor those headwinds into the fourth quarter guide – implied guide? And then second, just on kind of the European outperformance. You have a complementary technology with Tandem launching into Europe right now. Can you kind of show us any detail on what kind of attachment rates you're seeing there with their pump kind of installed and how does that compare to attachment rates in the U.S.? Thanks.
Quentin Blackford - DexCom, Inc.: Yeah. So on the first part of that question, Ravi, we talked about roughly 10 points of headwinds in that fourth quarter, so you can do the math on that number, but that's really what's contemplated in our guidance there, which would be a bit of acceleration off of Q3 not because we view revenue per patient really moving any further down, but more because it's a full quarter that we've had an inflation now in the fourth quarter where the third quarter was just a partial quarter. In terms of the second question, I'll let Kevin jump in.
Kevin Ronald Sayer - DexCom, Inc.: Yeah. This is Kevin. I'll take that one on the Tandem side, it's certainly Tandem selling pumps in Europe and pumps integrated with G6 that's going to help us across all markets, but it isn't going to drive any of our revenues through the roof in the near-term. I mean, for example, to the extent Tandem picks up an Animas upgrade, it's highly probable that that Animas patient was already using DexCom sensors. And that's why they're using an Animas pump over in Europe. So we'll get to keep them and then we'll continue to have a great experience with our system, but we won't be picking up revenues there. We think over time, as both they and Insulet grow, those integrated systems will be very additive to our revenue base. And that's why we continue to be very supportive there and work with those two partners because they're both doing well for us. But as far as the pick-up for us in Q4, we don't see one. We want to keep going.
Operator: And our next question comes from Isaac Ro from Goldman Sachs.
Isaac Ro - Goldman Sachs & Co. LLC: Good afternoon, guys. Thank you. Maybe, Quentin, a couple questions for you on the margin side, a lot of moving parts this year with all the growth, as well as the investment. Just trying to think through where you guys are on the gross margin side as it relates to supply both for G5 and G6. Last quarter, you guys were in a hurry to catch up with G5 and now you're bringing on G6. So I want to get a sense from a supply standpoint where you are actually in the quarter and basically what's assumed for the rest of this calendar year?
Quentin Blackford - DexCom, Inc.: Yeah. So, well, we assume 64% gross margins for the full year, which when you drop in your models, it's going to imply 65% or so in Q4, which is a 200 basis point improvement from when we've been running for the last two quarters, down in Q2 and Q3. I think we've made tremendous progress. The team has done a great job to get our production yields back in line as we exited Q3 with where we have been historically. If you recall back in the second quarter, we talked about our yields being down just from the incremental impact of trying to keep up with the higher demand than what we had assumed originally. We were bringing new lines up to meet that demand. We were ramping up in Mesa, Arizona. So those naturally created some inefficiencies, but the teams did a good job of getting that back under control and we exited the third quarter kind of in line from a yield perspective with where we want to be and feel good about the ability to deliver 65%, a nice improvement in the fourth quarter. I think the reality continues to exist though that the overall awareness of CGM that continues to grow and the volumes have surpassed our expectations, it's hard to keep up with that. The teams have done all they can to continue to keep up with it, but we're bringing more new incremental lines on faster than what we have ever anticipated. So just continuing to navigate through that create some challenges for the team, but they've done a good job thus far. And like I said in the fourth quarter, we'll be right back in the mid-60s and I think that's a right way to think about it into the future, but it's not without some challenges.
Isaac Ro - Goldman Sachs & Co. LLC: Got it. Thanks. And then just a follow-up, on the Analyst Meeting next month, just kind of curious what we should reasonably expect for the agenda. And specifically, whether or not that'd be the right forum to talk a little bit about 2019 guidance for sales margins or otherwise? Thank you.
Steven Robert Pacelli - DexCom, Inc.: Yeah. I think there was someone else asked that question. We're still working on the agenda for the Analyst Meeting. I think we're going to – certainly, Quentin is going to go in depth a little bit longer on the financials. You'll all get to meet a couple of other people from the senior management team. I doubt we'll give any more color on 2019 guidance. We typically do that the first part of January at a conference, which is probably what we'll do again. So we'll let you know when we get closer to Analyst Day.
Operator: Thank you. And this concludes our question-and-answer session. I'll now turn the call back over for final remarks.
Kevin Ronald Sayer - DexCom, Inc.: Thank you very much and thanks, everyone, for participating on our call today and for all your questions. As you can see from our continued performance, DexCom is in an amazing place. To put things in profit perspective, revenue this quarter exceeded all of 2014, which isn't that long ago. As we look into the future, the things we've done has driven our success to-date are the things that will drive our success going forward, our commitment to patients, our incredible employees and our world-leading technology. Our future efforts we discussed on the call today focus on enhancing the patient experience, building infrastructure, new algorithms, decision support, leading edge technology partnerships integration with insulin delivery systems, even simplification in distribution channels. Accurate, timely glucose information will drive everything in the future diabetes ecosystem. At the DexCom, patient experience is only going to get better and become more important going forward. We know that we've pushed our teams to the limits this year. Launching G6 significantly earlier than we had initially planned has created manufacturing, operational and customer support challenges. We did the right thing. People needed access to this amazing technology as soon as we can get it. But on top of our accelerated launch, our volume growth has significantly exceeded our actual revenue growth over the course of the year as well. We appreciate everybody's efforts this year. Thank you again. And finally, on the technology front, G6 is just the beginning. You've heard about our recent 510(k) approvals, our investment to enhance the future experience, our many strategic relationships. We have all the technology pieces necessary to take CGM everywhere it needs to go, across all of health care. Thank you.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating and you may now disconnect.